Operator: Good afternoon. Thank you for attending today's Alpha and Omega Semiconductor Fiscal Q1 2026 Earnings Call. My name is Jaylen, and I'll be your moderator for today. [Operator Instructions] At this time, I'd like to pass the conference over to the Investor Relations representative for AOS, Steven Pelayo. Please proceed.
Steven C. Pelayo: Good afternoon, everyone, and welcome to Alpha and Omega Semiconductor's conference call to discuss fiscal 2026 first quarter. I'm Steven Pelayo, Investor Relations representative for AOS. With me today are Stephen Chang, our CEO; and Yifan Liang, our CFO. This call is being recorded and broadcast live over the web. A replay will be available for 7 days following the call via the link in the Investor Relations section of our website. Our call will proceed as follows today. Stephen will begin business updates, including strategic highlights and a detailed segment report. After that, Yifan will review the financial results and provide guidance for the December quarter. Finally, we will have the Q&A session. The earnings release was distributed over the wire today, November 5, 2025, after the market closed. The release is also posted on the company's website. Our earnings release and this presentation include non-GAAP financial measures. We use non-GAAP measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with GAAP measures. A reconciliation of these non-GAAP measures to comparable GAAP measures is included in the earnings release. We remind you that during this conference call, we will make certain forward-looking statements, including discussions of the business outlook and financial projections. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause our actual results to differ materially. For a more detailed description of these risks and uncertainties, please refer to our recent and subsequent filings with the SEC. We assume no obligation to update the information provided in today's call. Now I'll turn the call over to our CEO, Stephen Chang. Stephen?
Stephen Chang: Thank you, Steven. Welcome to Alpha and Omega's Fiscal 2026 Q1 Earnings Call. I will begin with a high-level overview of our results and then jump into segment details. We delivered fiscal Q1 revenue results at the midpoint of our guidance, primarily driven by growth in our Computing and Communications segments, offset partially by weaker trends in Consumer and Power Supply and Industrial. Overall, total September quarter revenue was $182.5 million. Non-GAAP gross margin was 24.1%. Non-GAAP EPS was $0.13. Total revenue increased slightly year-over-year and 3.4% sequentially. As previously noted, licensing revenue wound down in the March quarter. Excluding licensing and other revenue, our product revenue was up 3.3% year-over-year. Power IC revenue increased 5.9% sequentially and 37.3% year-over-year to a record quarterly high and now represents nearly 40% of total product revenue. The richer mix of Power IC benefits gross margins and combined with increased controller sales, underscores our transformation from a component supplier to a total solutions provider. On October 13, we announced support for 800-volt DC power architecture, a major step forward for next-generation AI data centers. This shift from traditional 54-volt systems to 800 volts represents a fundamental change in data center power distribution, improving efficiency, reducing copper usage and enabling megawatt scale racks. AOS is part of an expanding ecosystem to provide silicon carbide, gallium nitride, stack die MOSFETs and multiphase controllers to address every stage of power conversion. We are excited about this transition as the move to 800 volts opens the door for AOS to participate in entirely new system designs rather than competing for existing sockets. In short, this architecture change creates a new design cycle and with it, new opportunities for AOS to expand our footprint in high-performance computing and data center markets. During the quarter, we received the first installment payment of approximately $94 million from the sale of a portion of our equity interest in our China joint venture. We are using this capital to accelerate the pace of strategic investment across technology, equipment and engineering talent, doubling down in the very areas where we've already proven success. These disciplined investments are designed to strengthen our technology leadership and expand our served markets into higher performance and higher-margin applications. Our momentum in graphics, smartphones and AI platforms is proof that past investments are paying off. Now emboldened by that success, we are going deeper by expanding our served available market, strengthening differentiation and developing more complete system solutions that raise the performance bar for our customers. These investments position us to outpace the competition, increase our design capability and drive higher BOM content and margin contribution across a broader set of high-growth, high-value applications. With that, let me now cover our segment results and provide some guidance by segment for the next quarter. Starting with Computing. September quarter revenue was up 27.1% year-over-year and up 4.6% sequentially and represented the majority or 53.2% of total revenue. These results were ahead of our original expectation for low single-digit sequential growth and mid-teens year-over-year. The strong demand from PCs continued into the September quarter, driven by 2 key factors: The ongoing orders from customers seeking to mitigate tariff-related uncertainty and traditional seasonal strength tied to back-to-school and holiday demand. Combined AI and graphics card revenue declined sequentially but remained more than double from a year ago. The decline was anticipated, reflecting a digestion phase following strong June quarter shipments. One of our initial data center programs ramped at a smaller scale than originally planned, but we remain actively engaged across multiple new AI opportunities. In addition, some near-term moderation in graphics card demand reflects manufacturing prioritization towards AI platforms. We view these effects as temporary and expect activity to normalize as new programs ramp in the March quarter. Looking ahead to the December quarter, we expect Computing segment revenue to decline nearly 20% sequentially. This reflects the anticipated slowdown following the typical post-holiday seasonal cooling in both PCs and tablets and the digestion phase in both AI and graphics cards. As we just mentioned, we view these factors as short term in nature, with demand expected to stabilize and return to a more typical pattern as we move into 2026. At the same time, we are expanding our footprint beyond controller and power stage solutions to include new opportunities in the 48-volt to 12-volt power delivery board, broadening our reach into the AI market. Our medium voltage solutions are optimized for applications requiring fast switching performance in the power conversion stage as well as high safe operating area, capability for 48-volt hot swap applications. Turning to the Consumer segment. September quarter revenue was down 25.8% year-over-year and 11.6% sequentially and represented 12.9% of total revenue. The results reflect the normalization of demand following strong Q2 promotional activity in gaming and a contraction from home appliances. The standout in the consumer segment was wearables, which delivered a second consecutive quarter of strong sequential growth, reaching a record high. Growth was fueled by share gains, new customers, higher BOM content and an expanding product lineup that includes headphones, watches and smart AI glasses. For the December quarter, we forecast a high-teens sequential decline in the consumer segment, primarily driven by maturing product cycle demand in gaming and seasonality and wearables, partially offset by growth from new refrigerator and fan applications in home appliances. Specific to gaming, we continue to work closely with our key customers on their next-generation platform. These programs leverage our established designed-in position and play directly to our strength in high-performance power management. We expect to benefit when these new products enter production and launch their next product cycle. Next, let's discuss the Communications segment. September quarter revenue increased 21.4% sequentially but declined 7.8% year-over-year. The sequential growth was primarily driven by demand related to product launches from our Tier 1 smartphone customer in the U.S.A., while smartphone sales in both China and Korea also improved from the prior quarter. The year-over-year decline is mostly due to weaker demand from smartphone customers in China and our strategic decision to prioritize U.S. customers. Despite these dynamics, AOS has continued to capture share with leading global OEMs. We continue to strengthen our leadership position, particularly in high-end smartphones, where charging currents and BOM content continue to rise. Looking ahead, the December quarter will likely decline low to mid-single digits sequentially. This is better than typical seasonality as we expect demand from U.S. customers to remain strong, supported by share gains, ramping of new products and higher BOM content related to increasing charging currents. Now let's talk about our last segment, Power Supply and Industrial, which accounted for 15.3% of total revenue and was down 12.4% year-over-year and 5.6% sequentially. The sequential decline was primarily due to softer demand in AC/DC power supplies and quick chargers, partially offset by a rebound in e-mobility after a weaker June quarter. Overall, the results were below our expectations for mid-single-digit sequential growth as quick charger demand came in weaker than expected. Within these segments, power tools revenue decreased sequentially and year-over-year, reflecting softer consumer spending and inventory adjustments at key customers. Looking ahead to the December quarter, we expect Power Supply revenue to grow mid- to high single digits sequentially. Growth will be driven primarily by the power tools segment, which has been in a correction phase, but is now showing signs of recovery as customers ramp new products into mass production. We're already seeing progress, including a recent design win that integrates our driver ICs with medium voltage MOSFETs in the next-generation brushless motor platform. This win highlights our growing system-level capability and position in advanced motor control applications. Elsewhere, DC fan demand is expected to soften in the December quarter, while e-mobility continues to show moderate growth, particularly in emerging markets where new projects are beginning to ramp. Looking ahead to the December quarter, we expect product revenue of around $150 million, reflecting typical seasonality following a strong September period. Demand across PCs is normalizing after a recent tariff-related demand, while gaming and wearables are also trending lower following promotional activity earlier in the year. AI and graphics cards are also digesting the strong shipments in the June quarter. In contrast, we expect strength in power tools and e-mobility to help offset some of the softness. Before turning the call over to Yifan, I would like to take a moment to highlight several critical investments currently underway. We remain more confident than ever in our long-term trajectory as we deepen our role in the global transformation taking place across electrification, digitalization and AI-driven computing. Power management has never been more essential, and AOS is well positioned across these megatrends with a broad portfolio spanning computing and AI, battery management and motor control. This diversification, combined with our evolution from discrete components to total power solutions continues to expand our served markets, enhance our resilience across cycles and drive sustainable growth. In the near term, while the market continues to recalibrate, we are driving innovation through disciplined investments and a focused strategy. With the cash proceeds from our JV equity sales, we are deploying capital with discipline, directing resources towards areas where we already demonstrate strength such as smartphones and PCs, while further expanding our opportunities in graphics and AI. At the same time, we are investing in high-impact initiatives that will shape the next wave of growth. For example, we are seeing continued expansion of BOM content in AI platforms, not only through our total power solutions combining controllers and power stages, but also through our high-performance MOSFET portfolio. Another key priority is accelerating development of the 800-volt AI power architecture, which marks a major inflection point in power efficiency and density for next-generation data centers. To support these opportunities, we are increasing targeted R&D and system-level engineering investments to advance design capability, qualification and early production readiness, applying the same proven playbook that has driven our success in high-performance computing and mobile markets. These investments are designed to strengthen our technology leadership and expand our served market into higher performance and higher-margin applications. We expect steady growth through 2026, followed by a stronger uptrend in 2027 as programs transition from design-in to volume production. Capital deployment will remain milestone-driven and tied to clear technical and commercial objectives to ensure attractive returns on invested capital. With that, I will now turn the call over to Yifan for a discussion of our fiscal first quarter financial results and our outlook for the next quarter. Yifan?
Yifan Liang: Thank you, Stephen. Good afternoon, everyone, and thank you for joining us. Revenue for the September quarter was $182.5 million, up 3.4% sequentially and up 0.3% year-over-year. In terms of product mix, DMOS revenue was $108.5 million, up 1.1% sequentially and down 11.4% over last year. Power IC revenue was $72.7 million, up 5.9% from the prior quarter and 37.3% from a year ago. Assembly service and other revenue was $1.3 million as compared to $0.5 million last quarter and $0.9 million for the same quarter last year. Non-GAAP gross margin was 24.1% compared to 24.4% last quarter and 25.5% a year ago. The quarter-over-quarter decrease was mainly impacted by higher operation costs. Non-GAAP operating expenses were $41.4 million compared to $40.9 million for the prior quarter and $38.5 million last year. The quarter-over-quarter increase was primarily due to higher professional service fees. Non-GAAP quarterly EPS was $0.13 compared to $0.02 per share last quarter and $0.21 per share a year ago. Moving on to cash flow. Operating cash flow was $10.2 million, including $5 million of repayment of customer deposits. By comparison, operating cash flow was negative $2.8 million in the prior quarter and positive $11 million last year. We expect to refund $8.2 million of customer deposits in the December quarter. EBITDA, excluding equity method investment income was $19.4 million for the quarter compared to $10.5 million last quarter and $20.6 million for the same quarter a year ago. Now let me turn to our balance sheet. We completed the September quarter with a cash balance of $223.5 million compared to $153.1 million at the end of last quarter. In the September quarter, we divested 20.3% of our equity interest in the JV company for $150 million, and we received the first installment payment of $94 million. We expect to receive the remaining payments in the next few months. Also in the September quarter, we paid out $20.8 million for the remaining balance of our equipment loan. Net trade receivables increased by $2.3 million sequentially. Days sales outstanding were 21 days for the quarter compared to 15 days for the prior quarter. Net inventory increased by $6.5 million quarter-over-quarter. Average days in inventory were 124 days for the quarter compared to 126 days for the prior quarter. CapEx for the quarter was $9.8 million compared to $14.3 million for the prior quarter. We expect CapEx for the December quarter to range from $14 million to $16 million. With that, now I would like to discuss December quarter guidance. We expect revenue to be approximately $160 million, plus or minus $10 million. GAAP gross margin to be 22.3%, plus or minus 1%. We anticipate non-GAAP gross margin to be 23%, plus or minus 1%. GAAP operating expenses to be $47.1 million, plus or minus $1 million. Non-GAAP operating expenses are expected to be $40.5 million, plus or minus $1 million. Interest income to be $1 million higher than interest expense and income tax expense to be in the range of $1.1 million to $1.3 million. With that, we will now open the call for questions. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first question comes from David Williams with the company Benchmark.
David Williams: Can you guys hear me okay?
Stephen Chang: Yes. Now we can.
David Williams: Apologies for the technical difficulties here. So excuse me for -- I kind of missed the first of the call here, but just kind of curious if you could give us maybe a little more color on the sequential decline, if there's anything in particular there that you think is maybe a demand side related as you kind of look out into next year, just kind of how things are trending as we get into 2026?
Stephen Chang: Sure. And we're looking at it into the fourth quarter, the fourth calendar quarter, December quarter, some of this is seasonality, but some of this does go a little bit beyond seasonality. And we noted particularly in the PC area, we saw activity tied to mitigating tariffs and seeing more activity in the beginning part of the year. We already, at that time, expected that to be temporary and end up being kind of a longer temporary going through most of even the September quarter. But that is coming to an end, and we expect that it's right now going through a correction period, but we see this as more of a temporary thing as well, too. And fundamentally, the markets that we're in still have the underlying growth trends behind that, whether it's a BOM expansion in PCs or whether it's the smartphones moving to higher charging currents, those trends are still ongoing. So we see this more as a temporary correction whereas the underlying trends are still there.
David Williams: And then just maybe on the gross margin side, Yifan, if you can, and forgive me if this has already been asked and answered, but can you just kind of speak to the gross margin and the degradation there and how you kind of think about or how we should think about that trending through next year?
Yifan Liang: Sure. Well, for the September quarter, our gross margin was in line with our guidance and then slightly below the midpoint, primarily reflecting some higher operation expenses. Going forward, yes, I would expect that this gross margin line will fluctuate along with the revenue top line and depending on the product mix and then the production level. So as Stephen just mentioned, I mean, for the December quarter, yes, we are expecting a lower top line and then -- so we also expect the gross margin line is a little bit lower than the September quarter. So yes -- so next year, yes, we're still confident in our product mix will improve, but then after this near-term slowdown inventory correction.
Operator: At this time, there are no more questions registered in queue. [Operator Instructions] Our next question comes from Kyle Smith with company, Stifel.
Kyle Robert Smith: Maybe shifting longer term, I'm curious what sort of dynamics you're seeing around ASPs and any potential erosion? I think I know like in the past, it's been like kind of like mid- to high single-digit declines annually. What sort of dynamics are you kind of seeing for fiscal '26? And then heading into fiscal '27, just any commentary there would be appreciated.
Yifan Liang: All right. Sure. I mean, right now, so far this year, this calendar year, we have been seeing pretty much the ASP erosion, has been trending toward historical number as what you said, mid-single digit year-over-year, that type of range. So that's on the same parts year-over-year basis. So what we do is we roll out new products to provide our customers with more -- the higher performance and more functionality so that we can reset the ASP. So going forward, we'll be doing the same thing. And then in terms of overall market, the pricing situation, that's hard to say. I mean, depending on the overall economy and the competition. So far this year, it's in the -- along the traditional historical line.
Stephen Chang: And let me comment a little more on this one, too, is -- and yes, we're glad to see more normalization of ASP decline. But the key thing that we're driving to actually to raise margins going forward is actually through the mix, as Yifan has alluded to. We are going after sockets and applications that are more performance driven. And in this sense, this is where when we're talking about investing in growth, we are investing in these types of areas that can drive higher BOM content, both for our ICs as well as our MOSFET solutions. We've been talking about and demonstrating the percentage of our Power IC business as a percentage of revenue increasing. And also -- and we're happy to see that even our MOSFETs are also going after higher performance sockets, whether it's in smartphones for higher charging currents or even for AI servers going after -- either going after the hot swap applications or intermediary bus conversions where they need a high-performance MOSFETs. All these kinds of sockets help to increase the BOM content as well as the margin profile.
Kyle Robert Smith: Great. That's really helpful color. And then, yes, I guess maybe if I could just turn to the JV sale, which I know is obviously bringing in a lot of cash. And you talked about some of the uses that you kind of see for that influx of capital that's coming in. But I guess it would be helpful if maybe you could qualitatively just kind of rank sort the different uses of those proceeds that you kind of see. I think you alluded to it a little bit in your previous answer, but any additional color there would be appreciated.
Yifan Liang: Okay, sure. Yes, through this sale of equity deal, we already realized about $176 million. So this deal, we got $150 million back to December 2021, we got about $26 million. So $176 million in total. And then after this deal, we still own 18.9% of the JV. So definitely, I mean, this transaction significantly strengthened our balance sheet. And then going forward, yes, in terms of how we want to use those proceeds and a couple of things. I mean, one is Stephen already talked about it, we'll continue to invest in the areas that we have been doing very well, for example, in the smartphone, PC and AI. And then at the same time, we'll invest in those expanding and growing BOM content in terms of AI. And then that would support our next wave of the growth. So in those AI and 800-volt AI power architecture, in those areas, we saw a lot of potential opportunities for us. So those are the areas that we're going to continue to invest.
Stephen Chang: Yes. Let me add on to that, too. So basically, in terms of the investment area, we are taking a very focused look at that, a very disciplined approach. And we want to invest more in areas where we have demonstrated already that we can execute and we can expand our business. So whether it's going deeper into existing applications such as PCs, such as phones or expanding into AI applications, if it's into areas where we see that we have competitive strength, we have products that are competitive going after performance-driven sockets. So those are the areas that we will focus on.
Kyle Robert Smith: Great. And then just one quick housekeeping question. I missed it at the end. You guided for the Industrial segment to exhibit a mid- to high single-digit sequential increase or decrease in the December quarter?
Stephen Chang: December quarter should be to, grow mid- to high single digits sequentially. That's our guidance.
Operator: Our next question comes from Craig Ellis with the company B. Riley Securities.
Craig Ellis: I was like getting in. So apologies if these questions have already been asked. I think what I saw in the prepared remarks is that we had expected AI-related revenues to be coming back in the fourth quarter after some digestion in the fiscal first quarter, but now we expect more of that ramp to come in the fiscal third quarter. Is that correct? And what is happening that is causing that ramp to be a quarter later than we previously expected?
Stephen Chang: Sure. Yes, we were originally counting on some ramp-up happening in the second half of the calendar year. And although we have done some ramp in the previous quarter, right now, it looks like the demand for that is not as strong as what it was originally forecasted to be. And so we're continuing to watch at least for this particular program. But that said, we continue to be engaged on other opportunities that have different time lines that we are actively pursuing.
Craig Ellis: And as you convey that, Stephen, are you referring to engage with other opportunities with the same customer? Or are you referring to other opportunities with different customers? Just trying to understand what's happening in the business.
Stephen Chang: It's a little bit of both. So as we mentioned in the call, there is the total solutions with our controller and with our driver MOS and power stage products. Those are mostly with the same customer that we're engaged with now. But as we mentioned on the call, we're also expanding to go after other sockets in AI, which includes some of the power delivery to get the power even before getting to that last stage. And that expands our available customers to other ones besides the ones we're currently serving for AI.
Craig Ellis: Okay. And then there was remarks, I believe, in the call about investing for growth and maybe you're referring to that right there? Or maybe it's a different point. My question regarding the investments for growth. Does that mean we're sustaining current levels of R&D? Or are you expecting that you're going to need to take R&D higher because you would need either additional design engineers, additional field engineers, et cetera. Help me understand what investing for or in growth looks like?
Stephen Chang: Sure. Yes. We are planning to invest some more into R&D, especially to fuel some of these areas. And the idea is that we are happy to see the success so far, but we want to accelerate that success, go after more programs, go after more sockets, expand our offering even more in those specific areas. So that will come with some R&D expense as well to cover those additional products to serve the bigger opportunities there.
Craig Ellis: And can you, Stephen or can Yifan quantify how significant that would be and when we would expect to see it, for example, is it baked into the guide you've given for the fiscal second quarter? Or is it something that comes in the fiscal second half of the year?
Stephen Chang: Well, in terms of the return portion, timing-wise, this is -- we've already been investing so far. So some of this is going to be -- we'll start to see next year already. This is why we are signaling that we will expect to see some growth -- steady growth in the calendar '26, followed by a more upturn in 2027. So that is a result of further investment in these growth areas.
Craig Ellis: Okay. Got it. And then just moving on to non-AI businesses. You commented that compute was up in the fiscal first quarter despite some of the ship-ahead activity. I thought it might be up a little bit more given that we had, I think, 9% quarter-on-quarter sequential growth. Can you just comment on how you feel about share activity in the compute market? And then I'd just ask the same thing about the gaming card market because I think that's in the same segment.
Stephen Chang: Okay. Yes. For the PC side, seasonally, the September quarter is always a peak, and we saw that strength going into the September quarter. But by the end of the September quarter, that's when we started to see some of the adjustments happening based on the more pulling in terms of the first half -- first portion of the year. So that started to change towards the end of the September quarter. But overall, it's still a strong quarter for us. It always is a strong quarter in the September quarter. Just now we were expecting some kind of temporary adjustment as we enter into the lower season for PCs. And your second question was about -- your second question, that is on the graphics cards, right? So for the gaming cards portion, that also, I think, was strong more towards the first part of the year. We're expecting that to moderate some going into the December quarter, mainly because our end customer is focusing more on the data center. So the allocation for them is more shifted that way. But we see this as also temporary too. We expect this to come back pretty shortly.
Operator: Our next question comes from Tore Svanberg with the company, Stifel.
Tore Svanberg: So I know it's very early, but I'm just looking at next year and I just want to understand some of the puts and takes. Obviously, I'm not looking for particular guidance here, but given your R&D pipeline, some of your design wins, what would be some of the relatively better performing segments you think next year?
Stephen Chang: Yes. I would say that those 3 areas that we're talking about investing in, those are the ones to focus on for us as a company. PCs in general, besides the more temporary adjustments, we are focused in general on expanding total solutions, including both controller as well as power stages. So we expect to see kind of further BOM content expansion just for standard PCs. In general, we also expect to see growth both for graphics and AI combined. I think we continue to make progress there. We hope to be -- to see more platforms hitting the market with our products on there. Smartphones also, we've been talking about expanding BOM content there and over there is because of the higher charging currents. And we see more of that happening rolling out to more phone platforms in our key customer, and that should hit again in the peak season in the September quarter there. So overall, I think those are the areas that we're focusing on, PCs and AI applications as well as smartphone, those are the bigger ones that we see. Of course, we still have our investments in other motor applications over there, we're starting to see some signs of life in the power tools and as well as e-mobility. So those can help as well, too.
Tore Svanberg: Very good. And my last question is on gross margin and I guess, more precisely on utilization. Obviously, down quarter, March quarter tends to be seasonally down. So when would you start to ramp utilization again -- or I guess the better question is, what are some of the signs that you need to see above and beyond seasonality, obviously, to start to get utilization up again?
Yifan Liang: Sure. We -- generally, we adjust our factory production along with the expectation of revenue, so the shipments. So yes, once we see the order patterns and then improving and then higher revenue, yes, we have to start turning on the utilization. Also, looking ahead for the entire year of calendar year 2026 for certain bottleneck areas, we may need to start some production early on in order to smooth out the whole year's production in order to support our customers.
Operator: At this time, there are no more questions registered in queue. I'd like to pass the conference back over to the management team for closing remarks.
Steven C. Pelayo: Okay. This is Stephen Pelayo. Before we conclude, I just want to highlight a few upcoming investor events. The management team will be participating in the 14th Annual ROTH Technology Conference, November 19 in New York City; the UBS Global Technology and AI Conference on December 3 in Scottsdale, Arizona; and the 14th Annual NYC CEO Summit on December 16 in New York City. If you wish to request a meeting, please contact the institutional sales representative at the sponsoring bank. This concludes our earnings call today. Thank you for your interest in AOS, and we look forward to speaking with you again next quarter.
Operator: That will conclude today's conference call. Thank you for your participation, and enjoy the rest of your day.